:
Matt Olney - Stephens Inc :
Operator:
Robinson McGraw: Those factors include, but are not limited to interest rate fluctuation, regulatory changes, portfolio performance and other factors discussed in our recent filings with the SEC. We undertake no obligation to update or revise the forward-looking statements to reflect changed assumptions, the occurrence of unanticipated events or changes to future operating results over time. Despite the current financial crises impact on the banking industry, we were pleased to see past strategies resulting in growth in both our net interest income and our non-interest income during the third quarter 2008 as compared to the third quarter of 2007. We are also taking steps that we believe are prudent in today’s economic environment and enhance our earnings in the future. Specifically we continue to reduce our construction loan portfolio, provide it nearly twice as much provision for loan losses over actual charge offs and managed our funding sources to preserve margin. The global financial crisis has obviously had an affect on the credit markets, both locally and regionally. Although we’ve seen the negative impact that sub-prime lending has had on the financial institution sector of our country, we’re pleased that we’ve had no direct exposure to sub-prime lending and do not have any equity exposure to either Fanny Mae or Freddie Mac. Our middle Tennessee market is seeing much of the same economic downturn as the rest of the country. We do however believe that Nashville’s diverse economy and its lack of dependency on any one industry should help its business and commercial market to recover faster than other metro areas of the country. In looking to our West Tennessee market of Memphis, according to the sparks bureau of business in economic research at the University of Memphis, the local economy remains in fairly good shape despite the fact that growth in the Memphis economy has been relatively slow and average. While Memphis and Nashville are both experiencing a slowdown in real estate construction activities, we believe our strategic locations and some banking practices will sustain our banking and financial services in these markets moving forward. As mentioned in previous calls, we’ve consolidated our Alabama corporate headquarters, corporate mortgage and downtown Watts Branch to the Park Place Tower in downtown Metro-Birmingham. We believe that this strategic move adds to our presence in Birmingham and creates better continuity among our Alabama operations. Foreclosure rates in the Birmingham metro area remains stable during August compared to the previous year and remained below the national average according to First American Chorology, a firm that collects housing market data. Looking into our other Alabama markets, Huntsville was named the number one mid-market in the south by Southern Business and Development Magazine in August of ’08 and one of Americas top five cities for job opportunities by the Wall Street Journal Smart Magazine in September. Home sales in Madison County were Huntsville’s located; continue to see declines in the third quarter of ’08, but selling prices rose according to a September 21, 2008 article in the Huntsville Times. The Huntsville market continues to appear better than other parts of the country where sales and prices of homes have dropped by double digits. In Mississippi, DeSoto County continues to be the fastest growing County in Mississippi and one of the fastest growing counties in the entire United States according the census bureau. DeSoto County maintains lower and informal than the rest of the state and nation according to the Mississippi Department of Employment and Security. DeSoto has however seen a drop off in building permits and an increase in foreclosures over the past several months. In Oxford, the University of Mississippi recently enjoyed the national spotlight as host of the first 2008 Presidential debate. It was a great event for the city and Mississippi’s Flagship University. Those factors include, but are not limited to interest rate fluctuation, regulatory changes, portfolio performance and other factors discussed in our recent filings with the SEC. We undertake no obligation to update or revise the forward-looking statements to reflect changed assumptions, the occurrence of unanticipated events or changes to future operating results over time. Despite the current financial crises impact on the banking industry, we were pleased to see past strategies resulting in growth in both our net interest income and our non-interest income during the third quarter 2008 as compared to the third quarter of 2007. We are also taking steps that we believe are prudent in today’s economic environment and enhance our earnings in the future. Specifically we continue to reduce our construction loan portfolio, provide it nearly twice as much provision for loan losses over actual charge offs and managed our funding sources to preserve margin. The global financial crisis has obviously had an affect on the credit markets, both locally and regionally. Although we’ve seen the negative impact that sub-prime lending has had on the financial institution sector of our country, we’re pleased that we’ve had no direct exposure to sub-prime lending and do not have any equity exposure to either Fanny Mae or Freddie Mac. Our middle Tennessee market is seeing much of the same economic downturn as the rest of the country. We do however believe that Nashville’s diverse economy and its lack of dependency on any one industry should help its business and commercial market to recover faster than other metro areas of the country. In looking to our West Tennessee market of Memphis, according to the sparks bureau of business in economic research at the University of Memphis, the local economy remains in fairly good shape despite the fact that growth in the Memphis economy has been relatively slow and average. While Memphis and Nashville are both experiencing a slowdown in real estate construction activities, we believe our strategic locations and some banking practices will sustain our banking and financial services in these markets moving forward. As mentioned in previous calls, we’ve consolidated our Alabama corporate headquarters, corporate mortgage and downtown Watts Branch to the Park Place Tower in downtown Metro-Birmingham. We believe that this strategic move adds to our presence in Birmingham and creates better continuity among our Alabama operations. Foreclosure rates in the Birmingham metro area remains stable during August compared to the previous year and remained below the national average according to First American Chorology, a firm that collects housing market data. Looking into our other Alabama markets, Huntsville was named the number one mid-market in the south by Southern Business and Development Magazine in August of ’08 and one of Americas top five cities for job opportunities by the Wall Street Journal Smart Magazine in September. Home sales in Madison County were Huntsville’s located; continue to see declines in the third quarter of ’08, but selling prices rose according to a September 21, 2008 article in the Huntsville Times. The Huntsville market continues to appear better than other parts of the country where sales and prices of homes have dropped by double digits. In Mississippi, DeSoto County continues to be the fastest growing County in Mississippi and one of the fastest growing counties in the entire United States according the census bureau. DeSoto County maintains lower and informal than the rest of the state and nation according to the Mississippi Department of Employment and Security. DeSoto has however seen a drop off in building permits and an increase in foreclosures over the past several months. In Oxford, the University of Mississippi recently enjoyed the national spotlight as host of the first 2008 Presidential debate. It was a great event for the city and Mississippi’s Flagship University. Total loans were approximately $2.5 billion at the end of the third quarter of ’08 as compared to approximate $2.6 billion on December 31, ’07. I would like to point out that over the last three quarters we focused on reducing our construction lending portfolio without a comparable reduction in our loan portfolio. As a result our construction loan portfolio was reduced by $94 million during the third quarter of ’08 and $145 million year-to-date versus a decrease of the total portfolio of $15 million in the third quarter and $61 million year-to-date. Total deposits were approximately $2.4 billion on September 30, ’08 as compare to $2.5 billion of December 31, ’07. In a more aggressive competition for deposits in some of our markets, we have intentionally replaced higher costing deposits with lower costing alternatives. As a result our interest expense is down approximately $900,000 on a linked quarter basis and down approximately $7.9 million for the third quarter of ’08 as compared to the same period the last year. Net interest margin was 3.45% for the third quarter of ’08 as compared to 3.52% for the third quarter of ’07 and 3.43% on a linked quarter basis. Given the current economic environment, we as with most financial institutions have experienced an increase in non-performing loans and net charge-offs during 2008. Annualized net charge-offs as a percentage of average loans were 25 basis points for the third quarter of ’08 as compared to 43 basis points on a linked quarter basis; six basis points for the third quarter of ’07 and 36 basis points for the fourth quarter of ’07. Year-to-date annualized charge offs as a percentage of average loans totaled 32 basis points. The provision for loan losses was $3 million for the third quarter of ’08 as compared to $1.3 million for the same period in ‘07. This provision is approximately twice the size of the charge-offs for the third quarter of ‘08 and allowance for loan losses as a percentage for total loans increased to 1.02% at December 31 ’07, 1.05% on June 30 ‘08 to 1.11% at September 30 ‘08. Non-performing loans, that is loans 90 days or more past due and non-accrual loans totaled $29.6 million on September 30 ‘08 as compared to $26.6 million on a linked quarter basis and $16.2 million on December 31 ‘07. As we’ve stated in previous earnings calls, we continue to actively monitor all relationships which we may be at risk of deterioration. Furthermore, we are persistently tracking our current non-performing loans and are seeking to bring these credits to a resolution by identifying a stable payout stream, taking additional collateral or moving towards foreclosures. Renasant has evaluated all the NPLs and we believe that all the NPLs have been adequately reserved for in the allowance for loan losses on September 30 ‘08. Non-performing loans as a percentage of total loans were 1.17% at September 30 ‘08 as compared to 1.05% on a linked quarter basis and 0.63% on December 31 ’07. Although non-performing loans increased, the company’s loans past due for 30 to 89 days as a percentage of total loans were 1.17% at the end of the third quarter of ’08, as compared to 1.23% on a linked quarter basis and 1.08% on December 31 ‘07. In conclusion, let me reemphasize that we remain ever vigilant in watching our credit relationships and we have implemented strategies to proactively manage the challenges presented by the current economic conditions. We believe that we have the right team in place with the proper tools and prudent lending policies to manage this economic downturn. Finally, we maintain that we are well positioned to sustain long term growth and profitability.
Operator:
Brian Klock – KBW: Thanks for taking the call. It looks like the net interest margin was pretty stable this quarter. If maybe you can talk about the outlook with recent FED funds changes and I guess how should we factor that in going forward?
E. Robinson McGraw: I’ll comment and then I’ll let Stewart comment. I think you will see some obviously immediate compression on the margin as a result, but we are obviously working towards mitigating that over the course of the quarter. Stuart I’ll let you make some specific comments.
Stuart Johnson: The comment that I would make obviously goes in line with what Robin said. I think it’s well said, if with a flash rate cut and anticipation at this point of another rate cut that when you look at the liability file and managing it, that you are going to see it much more difficult for a lower rate. That’s two fold; one being that the core deposits are already at a fairly low rate and then secondly is the competitive factors out there. If you look at each of our markets, we have got some banks particularly from the large banks if liquidity tends to be an issue of paying 5% and over 5% currently on certificates of deposits. To be competitive, that’s obviously going to call to other banks to raise their rates as well. So having said that I think it will be difficult to maintain that margin in the fourth quarter.
E. Robinson McGraw:
Brian, let me make a comment. We some time back instituted a policy of putting floors on our variable rate loans, so we should be seeing a lot of those floors helping us to mitigate some of the issues that we are seeing; kind of to get a little more granular on what Stuart was talking about. :
In Alabama, we have banks paying as high as 4.75% interest on the five-year CD. We have in Memphis some 5% CDs; even in Mississippi some 4.75% and in Nashville several in the 5% range, actually and one even at 5.05%, so we’re like a lot of other banks our size and we’re trying to be prudent in what we do. We are experiencing the same issues that they are and that we have some large super regional with liquidity issues that are really kind of setting the tone in these markets on a pricing basis:
Stuart Johnson:
One of the things we are getting right now and that’s early into this quarter is right now obviously those loans that are tied to LIBOR, we are getting a lift on that, but I suspect that may be short-lived.:
Brian Klock – KBW:
And Stuart how much of the loan portfolio, that is variable is tied to LIBOR versus prime?:
Stuart Johnson:
I think it’s about 10%.:
Brian Klock – KBW:
Okay and I'll just ask one other quick question here and I’ll let someone else get on. Can you talk a little bit about the movement into the NPLs and the ROE, so the in’s and out’s and you did not mention that one big relationship you talked about in the last quarter.:
E. Robinson McGraw :
About two days after the end of the quarter we took deeds in lieu on a property in DeSoto County that was about $7.8 million, which represented the largest migration into the other real estate category. We have had some others go in and some others out and as I said we have about $3.6 million under contract. We have sold one of the houses that went into that $7.8 million and we have in the negotiating stage about four, five other pieces of that property right now and that’s not in that $3.6 million that I mentioned and we do anticipate that closing within the next 60 days. :
On the other side of the ledger, as far as nonperforming loans go, we had about $4 million of nonperforming loans move out and almost $7.9 million move in, most of which was construction development loans and both of which were in that Memphis DeSoto County area.:
Brian Klock – KBW:
So within the next 60 days that $3.6 million is ORE property?:
E. Robinson McGraw :
Yes, that’s under contract. We have about a little over $2 million that’s from residential builders that we have contracts on; $230,000 that’s one full family, almost $1.2 million of commercial properties and $130,000 in multifamily in that $3.6 million.:
Brian Klock – KBW:
And just a last question; I guess you added to the reserve this quarter because charge-offs were 25 basis points and obviously there was an increase in the NPAs. How should we think about the reserve? Should we expect more reserve building here in the quarters to come or I guess how should we think about that?:
E. Robinson McGraw :
Brian as you know for the past almost three years now maintained qualitative reserves over and above our specific reserves and we just feel that in order to be comfortable in the times that we are in, that we needed to increase that allowance a little bit. As you noticed some more loans migrated into that nonperforming loan category. Some of those loans we actually don’t anticipate losses on, some we do and we feel like we are more than adequately reserved on those loans. You just never know in the economic times that we are in, what’s going to occur and we’d rather be prepared for it up front than after the fact.:
Brian Klock – KBW:
I guess within the quarter you did another good job of bringing down that construction exposure which I guess is generating a lot of the NPAs for you, so I guess bringing down that risk exposure helps with the reserve coverage.:
E. Robinson McGraw :
Well, that’s been one of our goals. Obviously we love loan growth, we are experiencing growth, but on the other side of the ledger we are seeing some go out the door, that we’d like to see go out the door. Let me remind you too, that if you unwrapped our 03-3, our allowance would be at about 118.:
Operator:
Your final question comes from Matt Olney - Stephens Inc.:
Matt Olney - Stephens Inc :
I hopped on the call a few minutes late and the first thing I heard was something about a strategic move in Alabama and I missed the details on that. Could you go over that again?:
E. Robinson McGraw :
You’re going to be disappointed when I tell you this, Matt. This was reiterating that last quarter we have consolidated our corporate headquarters of Alabama, our corporate mortgage group and our relationship managers into a downtown presence in Birmingham; that was just a reiteration of that.:
Matt Olney - Stephens Inc :
Okay, I do recall that. Could you give us more details on the loan portfolio in terms of where some of the pay downs are and where some of the positive loan growth is? I know you’ve mentioned Memphis and the DeSoto County is some of the pay downs; what else are you seeing?:
E. Robinson McGraw :
The actual growth we’re seeing is in that Nashville market probably more so than anywhere else. A little bit in Memphis and just recently we started seeing a little Alabama growth and there has been some Mississippi growth, but Nashville has been mainly where our growth has been and again we are trying to stay away from residential construction and development type loans as we look at where we are going and looking at our pipeline going forward.:
Matt Olney - Stephens Inc :
Are there pay downs anywhere else?:
E. Robinson McGraw :
I'll give you a little idea about our pipeline. We have right now in Nashville and Mississippi, loans are where most of the growth is showing in the pipeline, about $62 million in Mississippi, about $54 million in Nashville, about $33 million in Memphis and about $27 million in Alabama. Of that it is negligible as far as any C&D.:
Matt Olney - Stephens Inc :
And how is that pipeline compared to previous quarters that we’ve seen?:
E. Robinson McGraw :
It’s down about $30 million from last quarter, about $23 million. It was a couple hundred million dollars last quarter.:
Matt Olney - Stephens Inc :
And what types of loans are those that are in there?:
E. Robinson McGraw :
Well, it’s a combination. We are seeing some C&I type loans, seeing some commercial type properties, we are seeing some C&I, some small-business type lending. We are trying to get a lot of our newer markets. :
Going back Matt before the acquisitions that we had, we were a big small-business lender. We did and continue to do a lot of small business lending in Mississippi. Alabama has picked up on the small-business lending and now we are starting to pick up a little in the small-business lending in our Memphis and Nashville markets which we see is a great opportunity for our bank as we migrate away from residential construction development type lending; it’s a good alternative source of loans for us in the future. :
In fact, we have a gentleman who was actually with us in Nashville that we just dedicated to the small-business effort as a coordinator across our system and we feel like this, along with most other banks, our commercial industrial type lending, C&I lending will be a big factor in the future for us.:
Matt Olney - Stephens Inc :
Robin, what opportunities are you seeing out there in terms of increasing the pricing on some of these loans as they come up for renewal?:
E. Robinson McGraw :
We have been doing that, especially any residential construction and development loans that we are renewing as we go forward, we are increasing the pricing on those loans. We have been pretty active in re-pricing pretty much all our loans. As I mentioned to Brian, one of the things that we have done is we put floors in on our variable loans, whether they be either prime or LIBOR based we started inserting floors and we started doing that a while back in anticipation of potential rate drop. :
So in this declining rate environment those loans with the floors on them should be beneficial to us and our margin issues, but we have in fact been able to increase rates. It’s kind of an educational process, Matt. A lot of times relationship managers don’t feel like that you can do it, but actually I think our customers are anticipating those rate increases.:
Matt Olney - Stephens Inc :
And your relationship managers have any incentive themselves to increase the pricing? I mean obviously the holding company does through the margin, but is that also reflected for the manager himself?:
E. Robinson McGraw :
Yes, they have ROE hurdles that they have to hit in order to get an incentive. So if they don’t hit the ROE hurdle it is as though they didn’t make the loan.:
Operator:
(Operator Instructions) I’m not showing any further questions at this time. I will turn the call back over to Mr. McGraw for closing remarks:
E. Robinson McGraw :
Thank you Sandy and thank you everybody for joining us today. We appreciate your time and interest in Renasant Corporation. We look forward to speaking with you again when we report our fourth quarter and year-end results for 2008. Thanks everyone.:
Operator:
Thank you for your participation in today’s conference. This concludes the presentation and you may now disconnect. Have a great day.: